Operator: [Starts Abruptly] and welcome to the LGI Homes First Quarter 2018 Conference Call. Today’s call is being recorded and a replay will be available on the company’s website later today at www.lgihomes.com. We have allocated an hour for prepared remarks and Q&A. [Operator Instructions] At this time, I would like to turn the call over to Rachel Eaton, Chief Marketing Officer at LGI Homes. Ms. Eaton, you may begin.
Rachel Eaton: Thank you. Welcome to the LGI Homes conference call discussing our results for the first quarter of 2018. Today’s conference call will contain forward-looking statements that include among other things, statements regarding LGI’s business strategy, outlook, plans, objectives and guidance for 2018. All such statements reflect current expectations. However, they do involve assumptions, estimates and other risks and uncertainties that could cause our expectations to prove to be incorrect. You should review our filings with the SEC, including our risk factors and cautionary statements about forward-looking statements section for a discussion of the risks, uncertainties, and other factors that could cause our actual results to differ materially from those anticipated in these forward-looking statements. These forward-looking statements are not guarantees of future performance. You should consider these forward-looking statements in light of the related risks and you should not place undue reliance on these forward-looking statements, which speak only as of the date of this conference call. Additionally, adjusted gross margins and non-GAAP financial measures will be discussed on this conference call. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. A reconciliation of adjusted gross margins to gross margin, the most comparable measure prepared in accordance with GAAP is included in the earnings press release that we issued this morning and in our quarterly report on Form 10-Q for the first quarter of 2018 that we expect to file with the SEC later today. This filing will be accessible on the SEC’s website and in the Investors section of our website at lgihomes.com. Joining me today are Eric Lipar, LGI Homes’ Chief Executive Officer; and Charles Merdian, the company’s Chief Financial Officer. With that, I’ll now turn the call over to Eric.
Eric Lipar: Thank you, Rachel, and welcome to everyone on this call. We appreciate your continued interest in LGI Homes. During today’s cal, I will summarize the highlights and results from the first quarter of 2018, then Charles will follow-up to discuss our financial results in more detail. After he has done, we will conclude with comments and what we are seeing for the second quarter and our expectations for the remainder of 2018 before we open the call for questions. For the first quarter, we closed 1,244 homes, a 63.5% increase in home closings, compared to the 761 homes closed during the first quarter of last year. We also generated approximately $279 million in home sales revenue, which represents a 71.3% increase over the first quarter of 2017. Absorption in the first quarter averaged 5.4 closings per community per month companywide. This was an increase over the first quarter of last year’s absorption pace of 3.8 closings per month. Our top market on a closings per community basis was Tampa at 7.7 closings per month, followed by Houston at 7.1, then Orlando and Seattle, both at 6.3 closings per month. Companywide, we ended the first quarter with 79 active communities, which is a net increase of 10 over the 69 active communities that we had at the end of the first quarter last year. During the first quarter of 2018, our Central division added five communities, our Southeast division added four, our Northwest division added two, and our Florida division and Midwest division each added one community. These additions were offset by a decrease of three communities in our Southwest division due to community close-outs and transitioning between projects. Breaking it down, let’s look at highlights from our Central division operations. The pricing results from Houston, San Antonio, Dallas Fort Worth, Austin, and now the Oklahoma City market, our Central division generated 521 closings in the first quarter, representing approximately 42% of our total closings. These 521 closings also represent a 65% increase in closings with a Central division over the first quarter of last year. In addition, the absorption rate in the Central division was one of the strongest across all divisions averaging 6.1 closings per community per month. During March, we closed on our first home in the Oklahoma City market, expanding our Central division outside of the State of Texas. Our concentration outside of Texas continue to increase during the first quarter, making up 58% of our closings. The Southwest division represented 16% of our homes closings, the Southeast division represented 18%, the Florida division represented 17%, and the Northwest division represented 7%. As we have discussed on previous calls, we anticipate that our percentage of closings outside of Texas will continue to increase. Another highlight of the first quarter was the results from our Northwest division. We had strong absorption of 5.5 closings per community per month at an average sale price of $337,000, up from $321,000 in the first quarter of last year. In addition, the Northwest division closed 88 homes, compared to 40 homes closed in the first quarter of last year, which is an increase of 120% year-over-year. With that, I’d like to turn the call over to Charles Merdian, our Chief Financial Officer, for more in-depth review of our financial results.
Charles Merdian: Thanks, Eric. As previously mentioned, home sales revenues for the quarter were $279 million, based on 1,244 homes closed, which represents a 71.3% increase over the first quarter of 2017. Sales prices realized from homes closed during the first quarter range from the 140s to over $500,000 and averaged $224,000, $296, a 4.8% year-over-year increase. The increase in average sales price year-over-year reflects changes in product mix, price points in certain new markets and a favorable pricing environment. In the first quarter, approximate average sales prices by division were $206,000 in Central, $276,000 in the Southwest, $197,000 in the Southeast, $203,000 in Florida, and $337,000 in the Northwest. Gross margin as a percentage of sales was 24.8% this quarter, compared to 26.7% for the same quarter last year. Our adjusted gross margin was 26.4% this quarter, compared to 28% for the first quarter of 2017, a 160 basis point decrease. Sequentially, gross margins increased 40 basis points and adjusted gross margins increased 60 basis points quarter-over-quarter. Adjusted gross margin excludes approximately $4.3 million of Capitalized interest charged to cost of sales during the quarter, representing approximately 155 basis points consistent with previous quarters. Combined selling, general and administrative expenses for the first quarter were 13.8% of home sales revenue, compared to 16.8% in the prior year. We believe that SG&A will vary quarter-to-quarter based on home sales revenue, and for the full-year, we expect SG&A as a percentage of revenue to be 20 to 50 basis points lower compared to our 2017 full-year results. Selling expenses for the quarter were $22.9 million, or 8.2% of home sales revenue, compared to $16.1 million, or 9.9% of home sales revenues for the first quarter of 2017, which is a 170 basis point decrease. The decrease in selling expenses as a percentage of home sales revenue is due to operating leverage realized related to advertising costs. General and administrative expenses were 5.5% of home sales revenue, compared to 6.9% for the first quarter of 2017, a 140 basis point decrease. The decrease in general administrative expenses as a percentage of home sales revenues reflects operating leverage realized from the higher number of homes closed. Pre-tax income for the quarter was $31.2 million, or a 11.2% of home sales revenue, an increase of 90 basis points over the same quarter in 2017, and this is the strongest first quarter earnings in LGI history and represents an 85% increase in pre-tax income dollars over the same quarter last year. For the first quarter, our effective tax rate of 12.6% is lower than our annual expected effective tax rate, primarily due the result of deductions in excess of compensation costs or windfalls for share-based payments. Excluding the windfall deduction, our effective tax rate would have been approximately 24%, and we would expect that the second through fourth quarter effective tax rate will be between 23.5% and 24.5%. We generated net income in the quarter of $27.3 million, or 9.8% of home sales revenue, which represents earnings per share of $1.23 per basic share and $1.10 per diluted share. Weighted shares outstanding for calculating diluted earnings per share are impacted by our outstanding convertible notes. In the first quarter of 2018, our average stock price was $67.65 exceeding the conversion price and therefore, the convertible notes were determined to be dilutive. This resulted in approximately 2.2 million share increase for the weighted average shares outstanding for the diluted EPS calculation for the quarter. First quarter gross orders were 2,264 and net orders were 1,798. Ending backlog for the first quarter was 1,370 homes, compared to 1,087 last year and the cancellation rate for the first quarter of 2018 was 20.6%. We ended the first quarter with a portfolio of approximately 45,300 owned and controlled lots, up from approximately 39,700 at the end of last year. As of March 31, we had approximately $52 million in cash over $1 billion of real estate inventory and total assets over $1.2 billion. We had $510 million outstanding on our revolving credit facility and our borrowing capacity was approximately $84 million. In addition, we had $70 million in convertible notes outstanding. And as mentioned on last quarter’s call, during the first quarter, we settled $15 million in principal and issued approximately 500,000 shares of our common stock related to these notes. Our gross debt-to-capitalization was approximately 52% and net debt-to-capitalization was approximately 50%. At this point, I’d like to turn back over to Eric.
Eric Lipar: Thanks, Charles. In summary, we had another outstanding quarter. Let me provide some guidance and thoughts on what we are seeing thus far in this quarter and looking ahead into the remainder of the year. The second quarter is off to a great start with 606 closings in April, up 66% from the 365 closings in April of last year. The 606 closings came from 79 active communities, resulting in a very solid absorption pace, averaging just over 7.7 closings per community per month. We are also continuing our nationwide expansion focusing on increasing our community count. As previously discussed, we believe we are on track to end the year between 85 and 90 active communities. We have started construction in our first communities in the Sacramento, California and Birmingham, Alabama markets, both of these projects will start sales later this quarter with closings expected in the third quarter of this year. We also have closed on our first project in Las Vegas. Construction and sales will begin later this year with closings expected in the fourth quarter of this year, or the first quarter of next year. Based on the strength of our first quarter closings and our strong start to the second quarter, we offer the following guidance for the remainder of the year. We expect to close between 6,000 and 7,000 homes in 2017. We believe our average sale price in 2018 will end the year between $220,000 and $230,000. We predict our gross margin will end the year between 24% and 26%. We expect adjusted gross margin, which excludes the effect of interest and purchase accounting will continue to be strong ending the year between 25.5% and 27.5%. Given our continued belief that we will close between 6,000 and 7,000 homes and our reaffirmed guidance of average selling price, gross margins and community count, we continue to believe our full-year basic earnings per share will be between $6 and $7 per share. Now we’ll be happy to take your questions.
Operator: [Operator Instructions] And our first question comes from Nishu Sood of Deutsche Bank. Your line is open.
Nishu Sood: Thank you. Eric, let me just start out, obviously, the results looked – look strong on the margins, SG&A, especially. The stock reaction today runs counter that. I think, that maybe because despite the very strong closing space you’ve had year to-date, you’re not taking your guidance ranges up. So I was just wondering if you could walk through the dynamics and thinking around that please?
Eric Lipar: Yes. Sure, Nishu, this is Eric. I appreciate those comments. And yes, we look at that every quarter and based on our history we want to be conservative with our guidance and we’ve had a real strong first four months of the year. We had some pretty easy comps that we’ve had four straight months of 60% increases over last year. And looking at the rest of the year, we went over with our Board of Directors and we want to make sure, we hit our guidance. And historically, that 6 to 8 closings a month is really where we have been. And at 6,000 closings, our guidance on that, we’d have to average 6.3 closings per month for the rest of the year and as 7,000, it’s 7.9 based on an average community count. So our guidance, we feel is right in line with that 6 to 8 historical averages. And we feel really good about the start of the second quarter, we averaged 7.7 closings per community. We think it may based on what we’re seeing in a couple of communities closing out, we’ll still be strong, but beyond the 6 and – 6.3 to 6.5 closings per community and we think we’re going to stay in that range in that 6 to 8 closings per month range just the math that works out to 6,000 to 7,000 for the year. And we’ll certainly look at that every quarter and very likely to tighten their guidance as we get further into the year. But for now, we thought it was best to continue with our guidance.
Nishu Sood: Got it. Yes, the range is pretty wide. So I guess, the way to characterize that as you may have moved up within that range a little bit, but the range is still good?
Eric Lipar: Yes. No, absolutely. I mean, the range is still good. We’re very confident in the range. We always want to hit our guidance and we’re off to a great start and really positive about the business.
Nishu Sood: Got it, got it. On SG&A very strong performance this quarter. And so, obviously, clearly, the – it seems or I guess, this is part of the question. It seems like you’re benefiting from your continued investment in digital initiatives. And Charles, if I understood your guidance correctly, I think, you actually are now little less – you’re expecting a little less improvement in the SG&A ratio this year. So I was just wondering if you could talk through the dynamics of that please?
Charles Merdian: Sure. Yes, so this is Charles. I’ll start and Eric can add on the digital and on the marketing spend. So what we’re thinking, if you look back on a quarter-over-quarter basis between the second and fourth quarters, we’re expecting the SG&A percentage to be similar. So in the range of where we were last year, we’ve got investments. Certainly, we have geographic investments and overhead that we’re working through. The driver or the primary driver in the first quarter on selling expenses is really the advertising costs and the marketing costs like you mentioned. And then putting that in context comparing to first quarter of 2017, the ratio was higher due to the overall lower closings and lower revenue driven by the inventory gaps that we had in some of our high-performing markets. So if you look at it quarter-over-quarter for the rest of the year, we think the SG&A ratio is going to be similar. That puts us somewhere in that 20 to 50 basis point range for the full-year depending on where we come in on the closing guidance.
Eric Lipar: And Nishu, I can add to that as far as a little bit more on the digital marketing. Our marketing team here at corporate continues to do a great job of driving leads for our community. In the first quarter, again, we had over 100,000 inquiries or 100,000 leads from customers looking to purchase in LGI Homes. So we have got oversized leverage, if you will, and have not needed to spend our full advertising budget in order to drive leads to our communities. And I’m sure there’s going to be a question around rates and what we’re seeing. And as rates continue to go up and we’re advertising a higher price point because of costs going up and advertising higher monthly payments, one of the thing that we’re forecasting is needing to spend a little bit more money on marketing. And we’re certainly willing to do that since we’ve been so efficient to drive the number of leads we need to hit our closing numbers. So we’re probably little conservative on our guidance giving us some room to spend more money, if needed, to combat a higher raise interest rates environment.
Nishu Sood: Gotcha, gotcha. Okay. And last one for me, last year, your demand pace was so strong that your ramp-up in starts, I think, last year, Charles, you gave the stat, I think, last time was somewhere a 60%-plus in terms of starts 2017 versus 2016. Where – and that led to some inefficiencies on the gross margin line. Where are we now on that? Are you – is the production machine caught up with demands now that the demand environment has been at this level for sometime? And therefore, could there be some benefit to gross margins if that’s the case in the back-half of the year?
Charles Merdian: Sure. So great question. So yes, so last year we did see kind of end of the first quarter and into the summer quite a bit of a ramp-up, if you will, in terms of our inventory production. We ended the year close to around 3,000 units either completed or in process. We ended the first quarter around 3,400 units. So we still have been overall increasing our investment in our direct construction to give us the ability to hit the high-end of the closings per community range that Eric mentioned. I think, we have seen overall, what I would refer to probably as a tapering, I think, the production issue has, I guess, way described maybe stabilized in that sense a lot more consistency on a month-over-month basis in terms of how many starts we’re putting into the system on a monthly basis. So that has definitely helped on the cost side as well. I think, what we’re looking at from what we can see at this point is that materials and labor have really kind of both in the frequency and dollar amount of increases have been less impactful over the last three or four months, which potentially could give us some upside. But as Eric mentioned, there still are some headwinds for us in terms of affordability and how much pricing power we can really achieve. So I think we’re looking really at more consistent gross margins to the first quarter than a significant ramp-up in the back-end.
Nishu Sood: Great. Thank you for the details.
Eric Lipar: You bet.
Operator: And our next question comes from Michael Rehaut of JPMorgan. Your line is open.
Neal BasuMullick: This is Neal BasuMullick for Mike. I guess, I want to start on the gross margin performance relative to your guidance. What were some of the things you see is driving the upside? So any comments on the puts and takes there?
Charles Merdian: Yes. Sure, this is Charles and Eric can add. I mean, I think following up on the earlier question, I think, we definitely saw some pricing power we mentioned on last call that we were raising prices in January. So we were able to do that, I think, some of the issues we were seeing in terms of rapid and significant price increases settled a little bit. So that worked to our advantage as well. So I think, combination of those two factors led to the gross margin this quarter maybe being a little bit higher than what we guided to in the last call. But I think, like I mentioned, I think, we’re maybe not expecting to see it increase so much on the – as much on the back-end as maybe we mentioned earlier as well.
Neal BasuMullick: Okay, that helps a lot. Want to ask a quick one on capital structure. Even though net debt-to-cap has picked up a bit, it seems like you’re pretty much in line with where you want to be from a leverage standpoint. So maybe could you update us on what you’re thinking as far as capital structure to finance the growth you can see?
Charles Merdian: Yes, sure. So great question. So, first of all, we’ve been focused on reinvesting our profits. It’s been one of our key components of our capital structure. We’ve earned over $300 million since our IPO and been able to reinvest that into the business. We’ve also been very successful managing, like you mentioned, our debt-to-cap in that 50% range. We’ve done that through our credit facility through increases in year-over-year, we have an annual renewal that’s coming up this month as well. And then we continue to consider all of our options from our long-term capital structure, the convertible notes, which we mentioned, $15 million of which were converted this quarter. The maturity date on those convertible notes is November of 2019. So we’re also thinking ahead in terms of making sure that we’ll have the capacity to settle those convertible notes as well. And then we also believe our capital structure will continue to evolve looking at the other options available to us, certainly, taking into account what’s happening in the markets, availability, capital size of issuance, those type of factors. And we continue to believe that over time, that our capital structure will kind of evolve as well so.
Neal BasuMullick: Okay. I appreciate it.
Charles Merdian: You bet.
Operator: And our next question comes from Stephen East of Wells Fargo. Your line is open.
Stephen East: Thank you. Good afternoon, guys. Last quarter, Eric, you talked some about wholesale closings, which you had in the quarter. Could you talk a little bit about what you had this quarter and what you think is the outlook for the rest of the year, if you all try to forecast that in just the impact on gross margin in SG&A, so we know what was really going on?
Eric Lipar: Yes. Thanks, Stephen. I appreciate the question. Yes, from a wholesale standpoint, we had 31 closings in the first quarter, sales about 2.5% of our closings – average sales price is around $220,000, so pretty consistent with our average sales price of our LGI Homes retail business. And for the rest of the year, guidance would be the same as we – as we mentioned previously. We expect to close 200 to 300 houses in the wholesale business this year, which puts us maybe a little bit higher percentage overall more in the 3% to 4% range. So same impact to gross margin. The first quarter is about 20 basis points on gross margin and then maybe slightly higher than that 30 to 50 basis points in the second, third and fourth quarter just because the percentage might be slightly higher as a percentage of the wholesale business.
Stephen East: Gotcha. Okay, and one follow-on with that. How do you view those sales versus your normalized sales? Are you agnostic between the two? And then the other question I had was, last quarter also you talked about landmark, you’re getting a bit more competitive. We’ve actually heard some move-up competitors say, hey, that markets may be getting a little bit less competitive. Just any changes you’re seeing as you go through the markets?
Eric Lipar: Yes. On the wholesales business, we underwrite to the same operating income or pre-tax net income, if you will. So we’re really a different on the financial aspect of it on a one-off basis. But what we really like about the wholesale business and why is such a positive for our company is, we only sell the wholesale homes in communities, where we have the supply to do it, not necessarily underperforming communities, but performing communities where we have extra land or extra lots on the ground. So it’s really a win-win situation, where it helps to move some inventory and creates a similar pre-tax net income. And then overall, you’re getting the additional leverage on your SG&A by adding those additional closings.
Stephen East: Gotcha.
Eric Lipar: Maybe your second question, Steven, was on the move-up business?
Stephen East: No. Well, just your land market, last quarter you talked about, yes, you were saying, it get a little bit more competitive. And some of your peers are saying that the move-up markets getting a little bit less competitive because of the movement toward entry-level. Just wondering if you’re seeing that change any more than what you saw in the fourth quarter?
Eric Lipar: Yes, I don’t think we’ve see much of a change. I mean, we certainly have noticed other public builders and some privates talking about the strong demand for entry-level, and I think that’s positive for LGI. I think, everybody realized the demand for that first-time homebuyers there and a lot demographics in our flavors, as well as renters getting into the first-time homebuyer markets. But I’d say, land business is similar. We’ve got a lot of deals in the pipeline. You saw our owned and controlled lots have increased since last quarter. So underwriting to the same guidelines and we think we’re in good shape from a land position.
Stephen East: All right. Thank you.
Eric Lipar: You’re welcome.
Operator: And our next question comes from Carl Reichardt of BTIG. Your line is open.
Carl Reichardt: Thanks. Good morning, guys. You’ve got all my questions…
Eric Lipar: Good morning.
Carl Reichardt: …except for – good morning – except for one. When you’re looking at a lot cost acceleration, I’m curious, especially as you move into to new markets. Where are you seeing lot cost accelerate most significantly out of your markets? I’m operating under the assumption that the business models continue to be to look at markets that are somewhat untrammeled by some of your larger peers to some extent to get to affordable price points. I’m just curious, if you think around the country, where you see the most in place?
Charles Merdian: Yes, this is Charles. I’ll start. I mean, I think to your point, I mean, lot cost as a percentage of revenues has definitely increased. We talked a little bit that on the last call. Our average lot cost as a percentage of revenues is in the mid-18%, so roughly 18.5%, which is continuing to increase. It’s one of those items that we believe are going to continue to be a factor in terms of increasing costs. I think, you’re right. It is more geographic, but even in the case in some of our longer-term markets like Texas, the next replacement or the community that replaces one that’s being closed out, the cost to develop those lots or purchase those lots are going to be higher and usually a little bit further out as well. So even though we are in the tertiary submarkets compared to our peers, I think, lot costs are definitely one of those factors that we expect to continue to increase.
Carl Reichardt: Okay. Thanks, Charles. And as said, you have one other follow-up. If you look at your traffic conversion rates, which I know you don’t disclose. How do they look –how did they look in Q1 relative to Q1 last year?
Charles Merdian: I think, it’s very similar, Carl. We’re still seeing strong demand, like we talked about, still having lot of leads coming in. The mortgage availability, I’d say, is consistent. It’s more available than what a couple of years ago, but I’d say, consistent year-over-year. So, certainly, a lot of training, constant never-ending improvement as part of our culture here at LGI and we got a lot a new markets, lot of new managers, lot of new salespeople coming to the system. So we have to do continuously do a lot of training. But our conversion ratios are very similar.
Carl Reichardt: I appreciate it. Thanks, Eric. Thanks.
Eric Lipar: You bet.
Operator: [Operator Instructions] We do have a question from Alex Barron of Housing Research Center. Your line is open.
Alex Barron: Yes, thanks. Hey, good job, guys.
Eric Lipar: Thank you.
Alex Barron: I wanted to ask, I guess, on this rising rate environment, do you proceed that as being more of a negative or more of a positive, meaning, that you’ll lose more buyers who can’t afford a home, or you’ll gain more buyers who can’t afford more expensive homes?
Eric Lipar: Well, right now, Alex, this is Eric speaking. Right now we’re seeing it as a positive, because we’re selling in a higher interest rate environment. We have been for, at least, arguably the last four to six months and we’re continuing to see strong demand going along with the higher interest rates, you as well as also seeing increased job growth. Tax reform has put a few more dollars in our customer’s paycheck, which we see is positive. And right now, I think, everybody is feeling pretty good. We’re seeing strong demand. So far, our interest rates have had a – I’d say, a neutral to positive effect. Certainly, as rates increase and the monthly payment increases, some customers may not qualify, some customers may have to buy a smaller square footage house to qualify, some customers may have to come down into in LGI Homes from a potential move up. So right now, I’d say, neutral to positive is outweighing the negatives in a high interest rate environment or rising interest rate environment. And we think this weekend is the best time in history to buy a house, because rates are only going up from here and we’re seeing strong demand.
Alex Barron: Okay. And how about as you’re seeing more builders, I guess, moving in your direction in terms of price point. Do you feel the environments become more competitive or not really due to your own kind of the way you guys market to people?
Eric Lipar: Yes. Well, there is certainly more builders coming into the entry-level space. So it’d be more competitive in that regard, but we don’t think that will have any negative influence on our results. We’re really focused on what we’re doing here at LGI and not focused on what everyone else is doing. But the fact that everyone is in agreements that the entry-level buyer is really in a strong position right now. Like I said earlier, the demographics on our side and we’re seeing strong demand. I think, it’s a positive testament of what we believe in that to say very strong market right now. But we’re not too worried about the competition, we’re focused on what we’re doing and it won’t impact our results. But we – overall, we think it’s a positive thereby talking about the strength in the entry-level market.
Alex Barron: Okay. One last one. I didn’t see any deliveries from the Midwest region, any reason for that?
Eric Lipar: No, just because we’re just getting started up there, so you’ll see that coming next quarter.
Alex Barron: Got it. Okay, thanks.
Eric Lipar: All right. You’re welcome.
Operator: And our last question comes from Jay McCanless of Wedbush. Your line is open.
Jay McCanless: Hey, good afternoon, guys. Thanks for fitting [ph] me in. I jumped on late, so apologize if you’ve already addressed this. But I wanted to find out what percentage of communities you raised price this quarter? And with input costs continue to go up, how much are you guys been able to cover on pricing to offset that?
Eric Lipar: Yes, I’ll take it first, Jay, and then Charles can jump in if he wants. But we look at price increases and our prices, quite frequently do a real deep analysis every quarter. And in January, we did a price increase in virtually all of our communities. And then again in April, because we’re still seeing prices and costs increase. In April, we did another price increase in virtually all of our communities. So, 80% 90%-plus of our communities had a price increase in April, because that was necessary, because we’re continuing to see costs increase. And we talked about it earlier on the call, we anticipate gross margins being similar. We anticipate cost continue to rise for the second, third and fourth quarter and us continuing to have to raise prices to offset those costs to keep gross margin neutral.
Jay McCanless: The second question I had, Freddie Mac announced, they’re going to be starting a new 3% down mortgage program with no income restrictions beginning in July. I don’t know if you guys have had a chance to look at that program. What impact that might have on buyers who maybe are knocked out of the FHA limit in certain areas?
Eric Lipar: Yes, I saw the headline. We have not done a lot of research on that. We’ll rely on our preferred mortgage partners to really give us the details once that program is really confirmed and we can potentially roll it out to our customers. But it is a program that would open up availability of mortgages to more people, that certainly would be a positive for LGI.
Jay McCanless: Okay, sounds great. Thank you, guys.
Eric Lipar: Nice day. Yes. thanks.
Operator: And I’m showing no further questions over the phone lines at this time. I would now like to turn the call back over to Eric Lipar for closing remarks.
Eric Lipar: Thanks, everyone, for participating on today’s call and for your continued interest in LGI Homes. Have a great day.